Operator: Greetings and welcome to the Sify Technologies Financial Results for First Quarter of Fiscal Year 2017-2018. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Mr. Shiwei Yin of Grayling. Mr. Yin, you may begin.
Shiwei Yin: Thank you, Michelle. I would like to extend a warm welcome to all of our participants on behalf of Sify Technologies Limited. I’m joined on the call today by Raju Vegesna, Chairman; Kamal Nath, Chief Executive Officer; and M.P. Vijay Kumar, Chief Financial Officer of Sify Technologies. Following our comments on the results, there will be an opportunity for you to ask questions. If you do not have a copy of the press release, please call or e-mail me and I will share it with you. Alternatively, you may obtain a copy of the release at the Investor Information section on the Company’s corporate website at www.sifycorp.com. A replay of today’s call may be accessed by dialing in on the numbers provided in the press release or by accessing the webcast in the Investor Information’s section of the Sify website. Some of the financial measures referred to during this call and in earnings release may include non-GAAP measures. Sify’s results for the quarter are according to the International Financial Reporting Standards or IFRS and it will differ somewhat from the GAAP announcements made in previous years. A presentation of the most and directly comparable financial measures calculated and presented in accordance with GAAP and a reconciliation of such non-GAAP measures and of the differences between such non-GAAP measures and the most comparable financial measures calculated and presented in accordance with GAAP will be made available on Sify’s website. Before we continue, I would like to point out that certain statements contained in the earnings release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements, the Company seeks protections afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors, including competitive developments and risk factors listed from time-to-time in the Company’s SEC reports and public releases. Those lists are intended to identify certain principal factors that could cause actual results to differ materially from those described in the forward-looking statements, but are not intended to represent a complete list of all risks and uncertainties inherent to the Company’s business. With that, I would now like to introduce Mr. Raju Vegesna, Chairman of Sify Technologies. Sir?
Raju Vegesna: Yes. Thank you, Shiwei. Good morning everyone. Thank you for joining us on the call. Our continuing good results are a validation of the strategic direction, we have set for ourselves and we made it clear progressed on all fronts aided by both right solutions and consistent execution. The Sify 3.0 vision of an integrated ICT player has been realized. We owe our continuing growth to the unwavering focus of our team members in expanding our footprint in India and strengthening our services across the world. Our involvement in Digital India initiatives and the various digital transformation projects continues to be a key growth driver. The government's resolve to aggressively adopt automation is creating multiple opportunities for our services. Successful delivery of such large government projects will help build equity with Enterprise customers for our projects. Kamal, our CEO, will now expand on some of the business highlights of the past quarter. Kamal?
Kamal Nath: Yes thank you Raju. We are truly excited that our Data Center centric IT services are now generating revenues almost on par with our Telecom business. Over the years, we have enhanced our business and technology capabilities, re-oriented our business insights and developed a strong vertical-focussed sales team. This quarter, we have seen a significant increase in our Order Book related to IT transformation projects. Deeper engagement with the government is helping us position ourselves better on Government-initiated automation projects. Going forward, we will be presenting our business results under the following categories. Telecom centric services and Data Center centric IT services. Telecom centric services will comprise of Managed data services on our domestic and international network and termination of voice calls over internet protocol into our domestic and international partners network. Data Center centric IT services will comprise of Managed Colocation services at Sify’s six Tier 3 Data Centers, multi-flavoured Cloud services, Application-led services and Technology Integration-led services. I would now like to spend a couple of minutes on the highlights of the two services for the straight quarter. I will start with Telecom centric services. Revenue from Data business grew by 9% over the same quarter last year. Overall, revenue from Telecom centric services decreased by 5% versus the same quarter last year, primarily due to a reduction in revenue from India voice termination business. Sify signed up approximately 200 new clients for Telecom centric services during the quarter. Sify’s data network reached a milestone, covering 1,500 cities; this is approximately a 62% presence across India. Sify also completely upgraded its international PoPs and capacities in Europe and Asia to deliver the next generation of scale and services for its global enterprise customers. As part of a multi-city Hyper-Scale network rollout, Sify’s Mumbai network was upgraded to 100G level to support scalability for Cloud and Data Center Interconnect services. Our recently launched Managed Wifi services is gaining significant traction in the Banking industry with multiple Private and Public banks signing up. During the quarter, Sify completed a pan-India wide data network for a Large Public Sector Insurance company, and expanded the wide data network for another Large Public sector Bank. Data Center centric IT services, revenue from Data Center centric IT services grew by 31% over same quarter last year. 98 customers were signed up for Data Center centric IT Services in this quarter. Sify enhanced its Cloud services portfolio with India’s first All-Flash storage. This is the highest performance per-Terabyte available today in the country. Sify partnered with SAP to roll out a quick-implementation solution for Enterprises migrating to the new indirect tax legislation, the Goods and Services Tax or GST. Sify partnered with Enghouse to rollout Contact-Center-as-a-Solution, migrating all existing Contact Center customers to the new platform. Significant wins for Colocation services were from a leading power transmission company and a world leader in logistics. A large public sector general insurance company contracted with Sify for data center and disaster recovery infrastructure services and to provide infra integration services for data center network, IT infra compute and storage, virtualization and security services. A large public sector bank signed up to virtualize its entire data center infrastructure and applications. Sify was also awarded Partner of the Year at the VMware Partnership Leader Forum. I will now hand you over to Vijay, our CFO, to expand on the financial highlights for the first quarter. Vijay?
Vijay Kumar: Thank you, Kamal. Good morning everyone. I present herein, the financial performance for the first quarter for financial year 2017-2018. Revenue for the year was INR 4,555 million, an increase of 9% over the same quarter last year. EBITDA for the quarter was INR 699 million, an increase of 12% over the same quarter last year. Net profit for the quarter was INR 174 million, an increase of 39% over the same quarter last year. Capital expenditure during the year was INR 573 million. Our cash balance at the end of the quarter stood at INR 1,820 million. There are clear indicators that the pace of IT consumption in India is all set to ramp up. By continuing to invest ahead of the curve, we present a ready infrastructure for domestic enterprises and global multi-national corporations. Our asset utilization continues to improve based on demand from both the segments. I will now hand you over to our Chairman for his closing remarks. Chairman?
Raju Vegesna: Thank you, Vijay. Over the years, Sify has moved up the value chain from offering standalone services to integrated solutions, the sectors of these solutions has given clients the confidence to let Sify guide them through their entire digital transformation cycle. Thank you for joining us on this call. Now I will hand over to the operator for questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Joe Smith with Froyle Investments [ph]. Please proceed with your question.
Unidentified Analyst: Hello everybody. I’m very concerned with the performance of the stock, the lack of information from Investor Relations especially when the stock was expected to be delisted in June, no information it was relisted many people sold and as a result, it’s just painted a very bad picture for my company and other investors. My hope is that you have some explanation for the poor investor relations to the public although you may disagree. And what you are going to do about this stock price? Thank you.
Vijay Kumar: Joe [ph], Vijay Kumar here. On the stock performance, we have been in touch with the investor community and been responding to the calls as well. And as you must be aware we have filed a 6-K late of June after NASDAQ has given us an extension of time of additional 180 days and kept the investors informed. We continue our efforts both in terms of company’s improved operating performance, as well as in terms of interacting with the investors and helping them to appreciate our business model further. Going forward we’ll continue our effort in this direction.
Unidentified Analyst: But you did not answer my question. Basically your stock does not deserve below $1 price. Was anything going on?
Vijay Kumar: As far as the stock below $1 price is concerned, I’m sure you’ll appreciate that it is a function of how the market is trading on the stock. From the company side what we have done our best is in terms of ensuring the company’s financial performance and operating performance continues to be good and improving. And from a governance perspective, company continues to be well governed based on our track record of complaints at NASDAQ and all the other requirements. And to ensure that the market and the investors understand this better, we have taken our steps in terms of interacting with the investors. We are continuing to interact with them. We’ll increase our engagement in terms of interaction. And hopefully the market will see the real intrinsic value of the company and should get reflected in the stock price hopefully.
Unidentified Analyst: Yes, but this has been going on for too long. And I’m just sorry about my frustration. And I just don’t understand that you have good earnings again, and today who knows the stock. Are you going to merge? Are you going to have a stock buyback? Are you going to do anything positive in the company to show that this market – that your company deserves the respect that the technology and your company deserves?
Vijay Kumar: No. As far as the buyback and other options are concerned all those options are known to us, and we will see what best can be done in the long-term interest of the company. We don’t have firm commitment to make on this. And we strongly believe that the company’s underlying operating performance and financial performance is good, and the investors should be able to discover the true value of the company’s stock. And we have also got over a period of time guidance that buyback and any similar steps may not necessarily be the only option or the best option as well. In any case, we hear your observations, and we will keep them in our mind in terms of our future options.
Unidentified Analyst: Thank you.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to management for closing remarks.
Raju Vegesna: Thank you everyone joining us on the call, and we look forward to interacting with you through the coming year. Have a good day. Thank you.